Iris Eveleigh: Good morning, everyone. Dear analysts and investors, a warm welcome from my side to our full year 2024 results call. I'm here with Leo and Nadia, who will present our results. As always, we will leave enough room for your questions afterwards. With that, over to you, Leo.
Leonhard Birnbaum: Thank you, Iris. Warm welcome to all of you also from my side. Our full year 2024 earnings reporting comes at a really exciting time. We just had the federal election last weekend here in Germany. And the EU Commission is right today communicating on the clean industrial deal. So really an interesting moment in time to also have the full year numbers. So both events are very important for Germany and for Europe, both will likely offer new positive impulses for the energy transition. And why am I convinced of that despite all the challenges, because we need now more focus on economic growth and competitiveness to make the next update to the energy transition a success. And I expect exactly such a renewed focus to be a priority in both Berlin and Brussels. And we leave enough time in the Q&A to discuss politics, if you want. But now I would rather turn to our business. I have four messages for you. One, we have delivered what we promised. In parallel, we have invested into the future in getting stronger. Our growth case is intact. And lastly, it delivers value to our shareholders. So let's explore it a little bit. We delivered on our guidance for 2024 as promised based on strong operational and financial performance. And at the same time, we have delivered also the CapEx growth story, which is the basis for future earnings growth. And second, we have not only delivered the financial numbers, but we have also done that in a way that makes us stronger. We have strengthened the foundation of our energy leadership in future growth path, and we have done this through continued standardization, digitization, automation of all our businesses and that creates the base for further value creation as well as the efficiency of the entire energy system. And we have also launched a new chapter in our flexible offerings to our customers in energy retail. Third, the growth case is intact despite all the discussions around the energy transition, the future of the energy transition, the growth requirements, the demand for our products in energy retail, the demand for our infrastructure in networks and in heat and energy infrastructure solutions is intact, and that provides upside potential given the right investment conditions for additional CapEx, especially in the regulated business. And we remain focused on creating long-term value for our shareholders. Our updated ambitious guidance is an evidence of this commitment. So let me go briefly into that. On the financial delivery. We had challenging conditions in '23 and they continued in '24. The war of Ukraine is now three years running, still ongoing, economy is weak, interest rates, and energy prices stayed volatile and we saw rising geopolitical risks, especially in the last weeks, evident for everybody. And despite this challenging environment, our operational and financial performance remained strong. We have delivered the group earnings with an adjusted EBITDA of €9 billion, reaching the upper end of our guidance. We've also set a new benchmark for our investments, which increased year-over-year by €1 billion to €7.5 billion, up from €6.5 billion last year. And this demonstrates that our growth momentum continues to accelerate driven primarily by those networks investments. We have successfully added around 500,000 new connections and installed more than 6,000 digital substations in 2024, and this is contributing to an increase in RAB-effective investments of over 16% in 2024 and Nadia will go into the details of our earnings performance later. On the second message, we have delivered the numbers while at the same time, becoming stronger. Indeed, we have not only delivered what we promised. But we have pushed forward to become stronger for the next years, especially through digitization. In our Energy Networks business, this means standardizing assets, leveraging state-of-the-art technology and streamlining processes. You can digitize if you standardize before and not only the hardware, but also your internal processes. To date, we have standardized over 90% of the core components used in the power grid build-out for our German distribution network operators. This is not only -- this on top of allowing us to digitize is also the base for our strong supply chain performance and the derisking of our future CapEx plan. It allows us to achieve a higher level of automation, because if we standardize, we can digitize, then we can automate in almost all our processes. In 2024, for example, we doubled the number of users of our enterprise asset management system, which optimizes the build-out and the maintenance of our grid. 80% of our German RAB is now managed on this one digital platform. And this year, we have started to roll it out to our international grid companies. Last year, our first local network companies also switched to our new standardized meter-to-cash platform to achieve a higher efficiency level for customer billing processes. And this boosted, for example, our automation rate for a change of supplier to 99%. And additionally, we have also continued to roll out our future E.ON gird -- grid connection solution, iConnect, in our largest distribution network operator, Westnetz. A key part of this solution is our successful, envelio platform, which is already in use in more than 60 distribution network operators worldwide. So again, you standardize so that you can digitize, so that you can automate, so that you become more efficient. All these solutions feed into one standardized data platform and that allows us to leverage our scale even further with innovative AI applications based on digital twins, et cetera. For example, we're using AI for predicting bottlenecks in our high grid voltage system, a high-voltage grid system already in Westnetz, as a pilot. Driven by the achievements in digitization, we were able to increase our CapEx over the past three years by 70%, increasing the CapEx efficiency per employee by roughly 11% year-over-year. That's the productivity progress that few can actually match. It just shows how much digitization needs to be core of our strategy -- of our growth strategy, especially in a growth strategy, it is so important. Now let me also talk how we are an innovative playmaker in our energy retail business to meet the evolving customer needs. There, we have further strengthened our digital backbone for the customer journey. We have migrated an additional 5 million accounts to an updated digital sales platform in 2024. And we handled two out of three customers fully digitally which is a significant increase versus the past. That also translates into an enhanced customer experience, facilitating an improvement of our Net Promoter Scores by on average 13 points per country in critical journeys like "I complain". And this improvement in customer interactions is key in making our customers happy so that they actually stick with us. The excellence in our operations is evidenced by the loyalty of our customers, seven out of 10 customers stay with E.ON for more than three years, trusting our brand and our excellent offerings. We have also created the first momentum to tap into the upcoming opportunities in the Flex business, where we benefit from our large and loyal customer base. And it's clear that this is essential, because in the new energy world, price volatility increases as we more frequently experience hours of scarcity, obviously, with no sun, like night, and no wind, but also hours with immense electricity production and the surplus. And both phenomenons are completely unrelated to when the energy is actually needed. And our goal is to empower our customers to turn such fluctuations on the supply side from a challenge into an opportunity for them to actually benefit from that also financially. And we have, therefore, launched first flexibility propositions and are testing these with customers in our core markets. And on top, we also own the critical technology needed for this transformation. For example, our gridX, home energy management platform, which had already achieved an annual market share of 10% in Europe in 2024 and which is growing 3x faster than the market, and it all translates into our claim, and we make new energy work. Now you might wonder, is this growth case intact? And our answer is, it is intact, it even has significant upside potential. The energy transition remains a key underlying growth driver for additional network investments for the foreseeable future. And as you can see from the chart, there is still actually significant upside potential for additional network CapEx compared to our investment plan. And this is not only according to our own company view, but is also documented by basically all external institutions even when considering a more pragmatic political approach to net zero ambitions. So to make it very clear, we are absolutely sure that no matter what actually happens in the political space in Brussels or Berlin, you will not lead to scenarios where we have no additional growth potential. Now however, to accelerate and benefit from that additional growth potential, there are two conditions which we need. And the first one is, we need to make sure that this additional investments, this energy transition is affordable to maintain societal acceptance for this transition. And that end is clear because obviously, all these investments require a significant financial resource and to keep the energy system affordable for all electrification and a more pragmatic approach to net zero target is key. When electrification increases, electricity consumption will rise allowing systems cost to be spread over a broader base, which will actually ensure affordability and acceptance also going forward. And the second critical factor is obviously a regulatory framework that ensures attractive network investment returns and only international competitive returns will attract sufficient capital to ensure a scaling of the grid infrastructure to avoid rising energy system costs going forward. And this is why we believe the system case is intact, but it has a precondition. And that brings me to my final point. We've upgraded our financial framework, and Nadia will go into more detail on that. We still provide guidance up to 2028, as we have visibility for that period, and I might say only for that period and not for '29. Our dividend growth target remains unchanged and attractive up to 5% per annum, while we manage a major growth program and pursue attractive investment opportunities in Germany and across Europe. We maintain our strict value-creation criteria as a key principle. Our increased CapEx envelope of €43 billion fully meets our strict investment criteria, and we expect to keep our 2028 CapEx levels beyond our guidance period. But whether we can accelerate our CapEx spending further will depend on the attractiveness of returns, as I just said, in the next regulatory period for power in Germany, which starts in 2029. If -- as we expect returns -- allowed returns are sufficiently economically attractive, we could lift our CapEx run rate already in '28. And Nadia will now guide you through the details of our financial performance in '24 and the updated financial framework. Nadia, over to you.
Nadia Jakobi: Thank you, Leo. And warm welcome to all of you from my side. I'm happy to share with you the details of our 2024 financial performance and our outlook until 2028. My four key messages for today are: First, we delivered on our financial promises. Leo just gave you the numbers. An adjusted EBITDA of €9 billion, achieving the upper end of the guidance range and adjusted net income of €2.9 billion, reaching the midpoint. A record high investment level growing total CapEx by 16% year-over-year to reach €7.5 billion, which exceeds the guided €7.2 billion. Second, we are continuing with our investment strategy with a clear commitment to value creation. We ensure that across all our segments, every euro spend creates value for our shareholders. We have increased our Energy Networks 5-year CapEx plan by €1 billion, this is in line with the 2024 regulatory improvement we achieved in Germany through an accelerated depreciation of our gas grids. This underlines that good regulatory visibility has been and remains the only prerequisite for investments and not the outcome of the court case in Germany on ROE. Third, we introduced a strong new guidance for 2025 and an improved outlook for 2028. This is driven primarily by our Energy Networks business. We are committed to delivering high single-digit annual growth in our underlying adjusted EBITDA and adjusted net income between 2024 and '28. For now, we keep 2028 as the guidance year. To roll out -- to roll our outlook forward, we first need to achieve a sufficient degree of visibility on the key regulatory parameters for the next regulatory period for power networks in Germany starting in 2029. The German regulator, Bundesnetzagentur, has started a transparent pre-consultation. However, it is still too early to have clarity on crucial elements of the new return framework. And fourth, our strong balance sheet provides a solid foundation for value-creative organic growth and increasing distributions to our shareholders. Let us now move on to our 2024 year-over-year adjusted EBITDA performance bridge. Our adjusted EBITDA came in at the upper end of the guidance range. The 8% growth in our underlying adjusted EBITDA exceeded our expectations. This was driven by a stronger growth in our Energy Networks business. Here, we saw a significant EBITDA increase through accelerated investments into our regulated asset base across all regions. In our largest market, Germany, additional growth came from the positive inflation indexation of our regulatory revenues. The underlying growth was offset by timing factors in 2023 and 2024. In our second largest market, Sweden, we benefited from RAB driven growth and the increase in the regulatory back in 2024, overcompensating the end of network loss recoveries in 2023. In Central Eastern Europe, investment-driven earnings growth was offset by the adjustment in accounting for our Slovakian operations to an equity basis, resulting in technical adjusted EBITDA reduction. In Southeastern Europe, our successful regulatory management led to year-over-year growth, largely due to higher volumes and network loss recoveries. Moving on to our Energy Infrastructure Solutions business, where we ended on par with the prior year. As communicated, we landed in the lower half of the guidance range due to mainly temperature-related volume impacts in the first half of the year. In Energy Retail, we delivered another strong year and finished at the upper end of the guidance range, while keeping our customer base stable. This achievement was made possible mainly by our successful core B2C energy sales business. Also, our B2B performance in the U.K. was exceptionally strong in 2024. Earnings impact from milder temperatures at the beginning of the year were broadly offset by an overall positive weather impact in the last quarter. The year-over-year drop in adjusted EBITDA was caused by the positive one-offs of €700 million in 2023. Moving on to the next slide. Our adjusted net income came in at €2.9 billion at the midpoint of our guidance range. The underlying growth of 7% follows the strong EBITDA development. D&A increased more than foreseen as we decided to bring forward some of our digitalization investments. Our balance sheet remains strong with around €41 billion of economic net debt, our leverage factor landed at a comfortable 4.5x. As a reminder, the debt factor was lower last year due to large one-offs. However, we are and will stay comfortably below our up to 5x promise. This was supported by a cash conversion rate of 90% coming in fully as expected. For the period 2024 to 2028, we continue to expect cash conversion to reach 100% on average. Our balance sheet continues to serve as a solid basis for our organic growth. We accelerate CapEx spending by 16% year-over-year, enabled by higher RAB effective spending in Energy Networks, strong spending on new projects and Energy Infrastructure Solutions, including a large-scale battery project in the U.K. as well as growing digital spend in our energy retail business. When it comes to our investment strategy, we remain strictly committed to our value creation criteria, 150 to 200 basis points ROCE over WACC spread for our entire Energy Networks business, a 120 to 350 basis point IRR spread for our Project and Energy Infrastructure Solutions and a 3% to 5% B2C margin along with a €5 billion cash contribution in Energy Retail. For Energy Networks, we saw regulatory improvements from the so-called KANU 2.0 regulatory changes in 2024, facilitating the acceleration of the regulatory depreciation of our gas assets. This allows us to recoup cash from our gas networks earlier, enabling us to increase our CapEx plan by €1 billion to €43 billion. The reinvestment means that we can shift capital from existing gas assets into new power assets, achieving an around two percentage points higher WACC remuneration. And with that, we fully keep our value creation promise for our overall investments. This demonstrates our readiness to increase investments whenever additional value for our shareholders can be created. As Leo has already stated, we expect to keep at a minimum our 2028 CapEx levels for the years beyond our guidance period. And if allowed returns from 2029 onwards are as we expect, economically attractive, we could potentially lift our CapEx run rate already in 2027 or 2028. For this, however, we first require regulatory visibility. And as soon as this is provided, we are prepared to respond. Whilst visibility of the key regulatory parameters remains outstanding, we appreciate that the German regulator has started a transparent pre-consultation. The key topics that were outlined in the information document published in January, include a move to a simplified WACC approach for capital cost remuneration and for the continuation of a 5-year regulatory period, which we support. Turning to our 2028 outlook. We expect an underlying EBITDA CAGR of 7% for the period '24 to '28, with the corresponding underlying adjusted net income CAGR of 7%. For 2025, we commit to for an EBITDA of €9.6 billion to €9.8 billion and an adjusted income of €2.85 billion to €3.05 billion. 2025 is expected to benefit from the continued RAB-effective CapEx growth. Additionally, adjusted EBITDA will be boosted by the accelerated depreciation of our gas grids in Germany. For 2028, we targeted an EBITDA of more than €11.3 billion and an adjusted net income of around €3.4 billion. The improvement versus our prior outlook is driven by the underlying strength of our Energy Networks business. Please remember, our adjusted net income is well protected against movements in long-term interest rates. Due to the interest mechanism for new investments in our German networks business, a change in financing costs are generally offset by a corresponding change in adjusted EBITDA. During our 9-month results call, we shared that we are considering to present our reported financials, excluding value-neutral timing effects to make the underlying performance in our Energy Networks business more visible. As of Q1 2025, reported numbers will stay in the old format, but we will provide pro forma figures in the IR materials. With the reporting for full year 2025, our outlook for full year 2026 and beyond will be adjusted for value-neutral timing effects. At this point, we do not expect any major adjustment items beyond the no negative timing factors in 2028 and some continuing network loss recoveries in Southeastern Europe in 2025. Let me now share with you how our growth story is supported by all three business segments. The improvement in the 2028 outlook is driven by Energy Networks. Underlying performance is expected to be particularly strong in Germany, driven by the additional €1 billion CapEx spending and the adjusted EBITDA uplift from the accelerated depreciation of our gas grids. Outside of Germany, regulatory improvement also support the adjusted EBITDA outcome. Energy Infrastructure Solutions is expected to grow at a CAGR of 11% until 2028. The minor reduction in 2028 adjusted EBITDA outlook is mainly driven by slightly worsened foreign exchange assumptions in the Nordics. For Energy Retail, we expect the €1.7 billion underlying run rate from 2024 to continue into 2025, ramping up to €2 billion by 2028. The main growth drivers are, firstly, capturing opportunities in the flexibility market through innovative products; secondly, efficiency gains from further digitalization. And thirdly, centralization and advanced optimization of portfolio management. Let's now move to our financing outlook. Our strong balance sheet creates a solid foundation for organic growth and attractive shareholder returns. We remain committed to a strong BBB/Baa rating. Our additional balance sheet capacity remains unchanged at €5 billion to €10 billion. We maintain our discretionary disposal program of €2 billion. We will continue to opportunistically execute disposals to enter into joint ventures to crystallize value, excess funding for growth or to streamline our portfolio. We have completed around €150 million of disposals in 2024. We are pursuing further transaction with a total amount in the mid-triple-digit million euro range, including the pending Romanian retail transaction. Whilst aiming for guidance neutrality, we cannot fully exclude small impacts on group guidance for EBITDA and adjusted net income for new transactions. This provides us with the flexibility for executing our strategic growth agenda. Finally, I would like to close the presentation today by repeating my four key messages. First, we once again delivered strong results in 2024. Second, we remain fully committed to creating shareholder value through value-creative organic growth and attractive shareholder remuneration. Third, we will use the enhanced regulatory depreciation of our gas grids to increase our 2024 to 2028 investments into the German power RAB by €1 billion. Our 2028 adjusted EBITDA and EPS increases to more than €11.3 billion and around €1.30 respectively, bringing our underlying earnings CAGR again into the high single digits. Fourth, our balance sheet remains strong and supports future growth by fully confirming our strong BBB/Baa rating commitment. If regulatory returns from 2029 onwards are attractive, E.ON will ramp up investments potentially already in the years 2027 and 2028. And with that, over to you, Iris.
A - Iris Eveleigh: Thank you, Nadia. [Operator Instructions] And with that, we will start our Q&A session. And let me briefly remind you all, please stick to two questions so that we all can have - give you a go on the question side. And the first question will come from Wanda from UBS. Hi Wanda, the stage is yours.
Wierzbicka Serwinowska: Hi, good afternoon. Congratulations on the results. Two questions from me. The first one is on the next regulatory period. Can you just discuss the three key elements, I mean, or potential changes, a shorter regulatory period from five to three years move to work and the potential changes of the pass-through costs? And on the last one, do you see it as a risk for E.ON to deliver the very high cost outperformance, or operational efficiencies. The second point is on the German elections. I do understand it is still early days. But if we assume CDU, SPD from a new government, what is the potential impact on E.ON? I mean on Monday, Merz mentioned moratorium on decommissioning of the nuclear power plant. And then for networks, how the new government can ensure that the private capital, is basically there and the returns are attractive? Thanks a lot.
Leonhard Birnbaum: Let me - hi Wanda, let me take those questions. Number one, yes, we have a position on each individual topics, three to five years, we actually think five years is less bureaucratic. So we have a position on Xgen, actually not - there's no need for it anymore, et cetera, et cetera. But in the end, that's the wrong discussion, because the combination of the elements needs to lead, to a significant attractive return that allows us to attract capital. And so, it's like it doesn't help me if, for example, we now talk at length about our ability for OpEx delivery, et cetera, if then - another parameter at the same time, is turned in the wrong direction. So I would just stick to the point, which is, I think, also clearly understood in politics and by the regulator. The total outcome, no matter what the individual outcomes are, need to support our ability to attract private capital. Otherwise, we can't make the investments, and not even to ramp them up. So that's - I think that's the message that we want to convey. Again, until '28, we are clear. We are talking about '29, if the regulator sticks to the time plan as he did so far, we have to give him credit for running the process very consistently, then I think we will have a better clarity end of the year. On the new government, I think, we will all realize that nuclear, is not a relevant topic in Germany, no matter how much we talk about it. And so, I would not talk about it. I'm sorry. And I think on the - what the government needs to make sure, I think the government has a clear political ambition. This political ambition is also the task of the regulator. I always told you in the past that the regulator has a difficult task. He needs to do his job in keeping energy affordable as cheap as possible, but at the same time, allowing for the investments that need to happen. And he's working on that trade-off. And I think it's clearly understood by the regulator, that's not only a political desire, but also his task. We are optimistic that in the end, the necessity will prevail, and we will get a reasonable regulation.
Iris Eveleigh: Thank you, Leo. Thanks a lot. Thank you, Wanda. And the next question comes from Harry Wyburd from Exane. Hi, Harry.
Harry Wyburd: Hi everyone. Two from me, please. So firstly, on CapEx. So Leonhard, I picked up on your mentioning that you could start raising run rate CapEx from 2027 or 2028. But when would you be in a position to announce higher CapEx run rate. Is that something that you think you could potentially do this year? And what now is the threshold you need to cross in terms of higher allowed returns, to trigger that upgrade? I think previously rightly, or wrongly tied that into the court case last year. But what's the new hurdle or threshold that you need to get to, to make yourself sufficiently comfortable to raise CapEx? Is it - would you be happy with just a pledge on better returns in the next regulatory period? Or is that something that you're looking for in the current regulatory period as well? And then the second one, I was very interested in your affordability scenario, which it looks like, you're going to publish it in a few weeks. But one thing that's interesting me on this whole topic of affordability is that the, I guess, potential inefficiencies of having a massively fragmented distribution network with hundreds and hundreds of concessions, hasn't really come up yet in the affordability debate. So do you think that's going to become a topic? And could that have implications for you, in terms of some of the things you talked about in the past, of how you could help some of the smaller distribution concession operators to invest efficiently? Thank you.
Leonhard Birnbaum: Yes. I think, Nadia, you take the first one.
Nadia Jakobi: Yes. Yes. So - when it comes to what - we stick to explaining our hurdle rate requirements. And that is very clearly the 150 to 200 basis points ROCE over WACC spread that we are aiming for. And that's also sort of indicating to you that it is not just the single capital returns, but the overall framework, potential for cost outperformance, et cetera. That is actually looked at when we are sort of preparing our next CapEx envelope. When it comes to when do we expect more clarity, the regulator has laid out a very clear timetable for pre-consultation, consultation, et cetera, and they have given himself the target to have the methodology framework ready by the end of the year, also with some highlight on how this framework will be parameterized. And we expect that by - if this timetable has been followed, that we would have more clarity by the end of 2025. Then when it comes to efficiency debate, maybe that's - you can pick up.
Leonhard Birnbaum: Yes. First, the discussion of fragmentation has not been a prominent one, in the political debate. I don't anticipate that in the short-term either. But actually, it's coming up operationally. Now you might have read that the regulator has sent a letter, let's call it a letter, to 700 or so DSOs or most of the DSOs that they actually need to work on the smart meter rollout, which is obligatory to a certain extent. Now whilst E.ON has actually achieved the target of 20% rollout for eligible customers, basically already with 19 percentage points already, like at the beginning of the year. Actually, the latter was to more than 500 DSOs, you haven't even started with your first smart meter, which means they don't have the processes in place. And that tells you that, my conviction that the energy transition is going to be more complex going forward. It's just going to be a more difficult world in, which to operate. And I think that it will take its toll on many operators actually that will struggle to manage the complexity. I don't see that resulting in a consolidation. I always told you that, but I see that resulting in opportunities for service providers, and maybe on the one or the other side, we can be "a service provider" as E.ON, which we are, by the way, many of our participations.
Harry Wyburd: Nadia, just coming back to your point that you expect to have clarity by the end of the year, on the next regulation. I'm putting words in your mouth a bit here, but does that translate into a possibility of having an upgraded CapEx plan, at some point announced during this year? Is that the right understanding?
Nadia Jakobi: If literally - the regulator has given himself time until the end of 2025, let's assume that might be the 31st of December, which I cannot rule out, and it would be difficult to me to do that at the same day, but it would be then early 2026, the latest on that.
Harry Wyburd: Okay.
Iris Eveleigh: Thank you, Harry.
Harry Wyburd: Fair enough. Thank you.
Iris Eveleigh: And with that, the next question comes from Alberto. Hi, Alberto.
Alberto Gandolfi: Hi. Thank you so much for giving me the opportunity to ask two questions. The first one is - going back to your Slide 6 on the German NAP, there is like a 50% increase in the German CapEx. So can you actually finance organically all of that, starting '27 with an increase? I suspect '27 is not necessarily, already 50%. But can you fund that organically if we mark-to-market, let's say, ROE and it goes to 7%, 7.5% and maybe your WACC from 3% to 5%, so to speak. So can E.ON do this organically? Or do you have to think about alternatives on financing that? The second - and maybe if you can also comment where dividends come into play here. Would you also upgrade dividend growth, if you could upgrade your earnings growth? And the second question is much faster. What is your outlook for power demand in Germany, please? What role do you see from AI data centers? I'm thinking of power demand very important, because you - in networks, you mostly have fixed cost for consumers. So a higher power demand would reduce unitary deals in distribution. So I actually think it's very important for you. So I was wondering if you had any thoughts about power demand from here, and particularly from data centers? Thank you.
Leonhard Birnbaum: I - very shortly cover the last one. On power demand, I agree, we actually see - if we see more electrification, then we can share, I mean we can spread the cost of the energy transition on broader - on a broader set of shoulders and that actually keeps affordability. Our assessment is that actually even specific costs could, in some scenarios, could go down, depending on the progress of electrification. We have right now very different like assessments and estimates in the market. I would not like to speculate right now. I think one important point will be, how fast we get a new German government that, really then shows that they are determined to change the politics going forward. If we see, let's hope for that, if we see a government being formed, let's say, until Eastern and taking decisive action before the summer break. Then I think we could get a completely different momentum than in another scenario, where maybe it's a dragged out process like we have seen in a number of other member states, of the EU in the last years. So let me please not speculate on that one. I am still optimistic on overall demand. There will be growth. The question is how much, and how fast. But there will be growth, we see that. AI is actually short-term, probably not the biggest driver of growth that we see. We see right now electrification of transport, and heat still picking up faster than AI demand. But I would say, in the end, I don't care where the demand is coming from, as long as it is increasing as fast as possible. Electricity is the energy carrier of the future, and the only one that makes sense. And on the other question, I hand that over to Nadia.
Nadia Jakobi: Yes. So Alberto, what we said is, there is a 50% upside what will be required, if you go on this network build-out plans, of course, that is, sort of, an idealistic number because it includes, of course, all that we got our permits, all materials, et cetera, at the same time, because we are, of course, also very much committed to efficient build-out. If we are then fully able to implement the CapEx growth is, of course, then in return, depending on the return levels we get. Yes, so the more attractive return levels are, the easier it is for us, sort of, to fund that growth. So that is sort of communicating tubes. You cannot really say one thing without knowing the others. We have highlighted again that we have got the €5 billion to €10 billion extra balance sheet capacity, which is helpful, and we are not worried about our balance sheet. Coming to, sort of, the other question around dividend growth. You just highlighted it. If we were to invest more, we do that in a value-accretive manner that means rising, further rising EBITDA means further rising adjusted net income. And with our dividend policy of up to 5%, we would then, of course, also increase the dividend levels in line with this commitment.
Alberto Gandolfi: That's very clear. Thank you.
Iris Eveleigh: Thank you Alberto. So the next question comes from Meike Becker from HSBC.
Meike Becker: Thank you so much for taking my few questions. If you don't mind, can I come back to, at the time line of the regulation in the sort of like end of '25. So - is that a clearing event for you, is question number one. So if you get the framework and if you get highlights of parameters, is that the one clearing event for you where you would then be fully confident to step up the CapEx as you indicate for '27, for '28? Or is there a scenario where that could also be done gradually? You're seeing some confidence, a good direction. You step it up a little bit at the beginning of '26, but maybe then sort of like later in '26 or '27, more follows. That's the first question. The second question is just for you to reconfirm that really that constructive framework in Germany, is the main point. There are - no other hurdles. If you're happy with your hurdle rates of 150 to 200 basis points, then you see no problems in stepping up the CapEx in Germany? Thank you so much.
Leonhard Birnbaum: I take the second, it is very fast. Supply chain, demographics, digitization efforts all extremely challenging. So I don't want to belittle that, but we have it under control. So really, if we can actually finance it and if we get - and if it creates - if you can finance in the way that it also creates shareholder value, then we will be able to deliver on that. And I mean, the past trajectory might give you comfort that indeed, we are a prudent operator that knows what we are talking about, actually, not only in networks, but also in the other areas. And on the regulation, Nadia, again to you.
Nadia Jakobi: Yes. I think, Meike, you put it really well. We have been seeing what we have done this time. We have now sufficient regulatory visibility when it comes to depreciation of our gas networks, and we have this regulatory visibility. And then, we incrementally increase our German RAB investments by approximately 5% from sort of the €20 billion electricity RAB investments that we had into this €1 billion more. And I think, there could be also things in there. There will be elements that are clear by year-end or, which is likely overall largely the overall methodological frame, when it comes to capital returns, then there will be quite a few things that are not here, let here. Now we need to put our cost, and we have got quite a lot of other elements in the regulatory framework that might be not clear. So that's why you are fully right. We will make an overall assessment, what we know at that point in time. And if we get then sufficient clarity that our hurdle rates are being met, we can potentially extend and buy a certain amount, and could then also potentially do a bigger uplift once we have, then an overall clarity closer to the start of the regulatory period.
Meike Becker: Thank you.
Iris Eveleigh: Thank you, Meike. And with that, the next question comes from Deepa. Hi, Deepa.
Deepa Venkateswaran: Thank you so much. I have two questions as well. So on Slide 15, I was wondering if you can give like a bridge on the underlying networks earnings in '24 to '25. It has come in a good bit above expectations. So if you could just break it into the building blocks, how much is from KANU, RAB growth, anything else? And thank you for focusing on the underlying earnings much, much appreciated. My second question is related to a number of other questions, have already been asked on, the regulator kind of budging and making the framework more attractive. Given that they're supposed to be independent and we had pre-election, the CDU, you talk about returns needing to be attractive in Germany, versus international benchmarks, et cetera. How do you see the result of the election outcome dovetail into, how the regulator is thinking about it, particularly when maybe some of the funding needs are very acute, for some of your transmission peers in Germany? So how might the government change, or not change anything? Any comments from your side would be helpful? Thank you.
Leonhard Birnbaum: I'll start with politics again, yes. So I get the easy questions today. They are, in that sense, easy because everybody assumes that we know already the future government, but still, this government needs to be in place. And we have seen in Europe that, that can take a long time whilst I certainly hope it doesn't, so that we get a government fast, which would be great for Germany and would be great for Europe as well. Because we need decisive and fast action. We can't afford to stand still. I think the necessity of the return on the regulated business side, is independent of the election. It was a problem before. It is a problem afterwards. And the regulator clearly understands that, and he does need the election to actually adjust his making, or his doing. So I see the impact of that actually limited. So I think the understanding is there. The process is there, and now it needs to translate into results. And I'm an optimist by saying, we got a new government after eight weeks of election campaign rather than eight months of election campaign, what an efficiency gain. So we might actually get half a year of decisive politics, rather than half a year of painful campaigning. So in that sense, situation is actually not bad. And I think regulator and politics, whoever will be in charge, because we don't know the ministers yet, et cetera, I think they will pull in the same direction. The programs of both Social Democrats and Christian Democrats actually have shown acknowledgment of the necessity. We hope that this acknowledgment translates into reality, as fast as possible.
Iris Eveleigh: And yes, Nadia
Nadia Jakobi: Yes. So on the earnings bridge, yes, Deepa. So we are increasing our underlying EBITDA in our Energy Networks business from €6.6 billion in 2024 to €7.3 billion in 2025. That's approximately a €700 million uplift. You can expect that there's approximately a low triple-digit million euro amount in the accelerated gas depreciation in there. And the remainder is mainly coming from this actual WAP uplift, both from growth in Germany and in Europe. We've got some smaller other effects in there that net each other out. We've got a photo year gas that is coming up. We've got some better results in the network adjacent business, which we have seen in 2024 continuing into 2025. But for you to bear in mind, it would be just the two effects one, the accelerated gas depreciation and then the higher EBITDA on the increased regulated asset base, both in Germany and in Europe.
Deepa Venkateswaran: Thank you.
Iris Eveleigh: The next question comes from Peter from Bank of America. Hi, Peter.
Peter Bisztyga: Hi. Hi there. So can I just request a quick clarification, first of all, as to when you actually expect the final ROE to be published by the regulator. And then my two questions. First of all, there seems to be quite a lot of uncertainty on timing here in terms of - will you know enough in 2026, or you have to wait until 2027? Will you actually get what you want, maybe you won't be able to raise CapEx at all. So I guess, Leo, you mentioned the challenges of managing the supply chain and I guess, your kind of employee base. Can you give us a bit more insight as to how you manage that uncertainty? And actually, how quickly could you ramp up CapEx if you get the parameters that you're looking for, is it going to take time to sort of ramp it up or could you just hit the go button straightaway? So that's my first question. And then secondly, I'm just wondering, how much scope is there to materially uplift CapEx in your other geographies. So Sweden, your Eastern European markets. So great if you could comment on that as well? Thank you.
Leonhard Birnbaum: I'll take the first question. First, I would - since this is now coming up for the third time, I would like to take some excitement out of the 2025 discussion. Whilst we have seen a time scale for the consultation process, that the regulator has been sticking to so far. We have also seen in the past that we've often got the final results actually significantly later than announced. So in that sense, please don't get now carried away, by the potential that we have a higher clarity. And if you ask for final numbers in the regulatory scheme, then we are not talking 2025 anyway. We are talking about the clarity, whether it can actually materialize, and this is why we have positioned ourselves. I think you all over interpreting this a little bit too much as if it's around the corner that we know exactly what's going to happen in 2029. And I remind you, even that we had some regulatory periods where at the beginning of the period, we didn't know what the parameters would be. But this, we don't assume this time, because I think the necessity to act is higher. So, we expect clarity earlier, but please now don't get carried away by asking whether it's August, September or December or maybe even later. So it could be later. So that is number one. Uplift on the operations. Now obviously, we can't step change in the uplift. So it's like, we can't now say, Oh we have €1 billion extra. Let's just construct for €1 billion more in whatever it is. But what we need is, we need a year of visibility, so we put it in our plans. If we know that we have more CapEx than our guys put it in their plans, they adjust their demographics, then we slightly adjust supply chain, and then we can incorporate it. So we can't do this overnight. That's obvious. So - but we are talking about time scales, which are basically budget to budget. I mean, I remind you, €1 billion this year versus last year or '24 versus '23, €1.1 billion this year versus '24, yes. And so the ramp-up, as you have seen, has been actually quite spectacular, and it shows - two things. Actually, first, the organization is set up well. And second, we are doing a lot of that increase by increased efficiency, and not just by increased resource allocation. And that gives me comfort that we can deliver also going forward.
Nadia Jakobi: Maybe to the scope in other geographies.
Leonhard Birnbaum: Sorry, yes, scope in other geographies. It's relevant, but obviously, the most important one for us is Germany. And therefore, we focus also in our communication in Germany. This is not to say that the other markets, are not extremely important for our Energy Networks. I remind you for just Nadia just said, the increase in networks actually came last year from Energy Network, Europe. Actually more than Germany in the results side. So the others are important, but Germany is so large that it's for us the relevant factor also for you than eventually.
Nadia Jakobi: And also the investment backlog, when it comes to sort of having had now this huge front-loaded renewable investments, nowadays for the distribution network to catch up. So Germany and maybe a bit similar to the U.K. has now, of course, some of the biggest investment backlogs that need to be implemented
Leonhard Birnbaum: In networks.
Nadia Jakobi: In networks.
Iris Eveleigh: Thank you, Peter.
Peter Bisztyga: Thank you.
Iris Eveleigh: And with that, we have the next question from James Brand from the Deutsche Bank.
James Brand: Hi, good morning I guess. Good afternoon. Where you are. A couple of questions from me. First is on the politics again. So I know you've kind of touched a little bit on the politics already, but I still get asked a lot about the CDU policy, specifically towards grid fees. And that they obviously said that they would like to cut grid fees, but I thought had made fairly clear from their consultation papers that they wanted to do that through taking CO2 auction revenue, and using that to cut grid fees rather than just cutting grid fees through other routes. However, there's still quite a lot of debate out there in discussion, as to exactly what they want to do with grid fees, whether they're going to conduct a wider root and branch review of network costs, and whether that could lead to pressure elsewhere? So I could wonder whether you could just share your perspective on, whether that's a worry and what you think they might be looking at, when it comes to grid fees? And then the second one is just on EIS. The guide was little bit weak given that you'd obviously had a weak year in 2024, and you're guiding for not much growth in '25. So I was just wondering whether you could talk us through what's going on there? Thank you.
Leonhard Birnbaum: As on grid fees - so first, the focus on "cuts and grid fees" is really on the TSO side, whether there could be a reduction of those fees, for example, by supporting grid fees as it actually was done in '23, before we had this constitutional court verdict that basically stopped the financing of that reduction of TSO fees. So as I interpreted, it's actually more a TSO focused debate, which I can actually follow. And then second one, when you're talking about energy prices, they are talking about subsidies - sorry, about taxes and levies on especially power, which is also part of the consultation papers of the European Commission in their Affordable Energy Act papers. So in that sense, I would expect those two elements to materialize fast, whether they could be a support and then obviously, if there's a support of TSO grid fees, then also a cut on the TSO grid fees, which then would trickle through into our DSO fees. And then of the levies and taxes. We have not seen discussions on, let me call it, price caps, or whatever outside the scheme, and there would be no regulatory basis and no legal basis for that anyway. And for sure, it wouldn't be good for incentivizing investments therefore, we don't - we have no indication that this is being discussed, and we don't see that.
Nadia Jakobi: Yes, James, coming to your question on ICE. First of all, we expect the normalization of the volume-related topics that we had in H1 2024. And that sort of brings us, sort of more to midpoint of our guidance range. Then you're rightly pointing out, we have got investment-driven growth. Please bear in mind that, of course, infrastructure - in Energy Infrastructure Solutions have always a time lag from increasing our CapEx by some two years of project realization, when it then actually finally lands in EBITDA. We see some mid-double-digit increase in earnings from investments in 2025. That is a bit compensated by a special effect that we have got in our Swedish business, and some of the higher biomass sourcing costs that we experienced, where we only passed on to the customers, with some time delay, which we are fully expecting. That is more an industry issue in Sweden due to significantly increased biomass sourcing cost. Then as we have been highlighting our growth story, with an 11% CAGR up until 2028 is fully intact and material, sort of, builds then on this investment driven growth. And there's only a small reduction, compared to our previous outlook coming from FX effect from the Nordic business in the mid-double-digit million area.
Iris Eveleigh: Thank you, James. And with that, I think, we come to the last question from Ingo Becker from Kepler. Hi Ingo.
Ingo Becker: Thank you. Hi, good morning. Also I have a question on your CapEx plan, please. On the existing plan, the new €35 billion plan for the networks, the CDU has made quite clear they want to look into the build-out speed, and the overall build-out costs in the networks in Germany. And I'm wondering, beyond all the returns and debates where the CDU seems to be clear, does not want to intervene here. But is there a potential risk that they intervene into the volume that you will spend? In other words, is the €35 billion, can we consider that safe, you will deploy that amount? Or is there a risk that might be captured given the very short lead times you have in most of that CapEx? And with regard to the upping of the CapEx plan, Leo, you said you're looking for the total outcome. Does that mean we're looking for an improvement within the ROCE, WACC spread, i.e., that the whole 150 to 200 basis point range moves higher? Or are you looking for an improvement within that range? And if I can just a quick follow-up, yes or no, is the €100 million - the negative €100 million in your other operating overhead guidance for this year, is this a normalized stuff? Thanks very much
Leonhard Birnbaum: Yes, on the €35 billion, you should consider it safe. That's the short answer, because we have - what I tried to say when I said the growth case is intact for us, we said that the growth plan is actually more than backed by, let me call it, physical necessities of grid connections, grid reinforcements, et cetera. Even if there would be cuts on the aspiration target - aspiration level, let me say, that would probably over-proportionately hit TSO demand. But for the TSOs, that wouldn't be a problem either, because they are overwhelmed by the needs that they have. For example, if we would reduce offshore targets from 70 gigawatts downwards, which we would strongly advocate for, because it would make sense, then they would massively reduce offshore grid connection cost plus then TSO North-South connection cost, but it would have zero impact on E.ON. On the other side, we even see counteracting effects. Right now, we are seeing that AI is coming into the scheme, which nobody talked about five years ago. We see now demand for transport e-mobility coming up, which would require significant loads along the highway corridors. And we are seeing still electrification of heat continue even though everybody is talking about a smaller speed. But it's still more than we had in the past. And that all happens in the distribution system. And we also see solar winning against wind, which over-proportionally again, pushes into the DSO system. So I would say the €35 billion on our side, consider it safe, and actually we actually need to attract even more, even with lower aspiration level, and this is why we're talking so much about the regulation.
Nadia Jakobi: Yes. So our €100 million for corporate function, you can regard as a normalized number Ingo. And yes, I think Leo has said that, we are sort of confirming the 150 to 200 basis points ROCE over WACC value creation range.
Ingo Becker: Thanks very much.
Iris Eveleigh: Thank you very much, Ingo. With that, we come to a close. Thank you very much, Leo and Nadia and everyone online. And as always, the IR team is there to follow-up on any questions you might have. Thank you very much, and have a good day. Bye-bye.
Leonhard Birnbaum: Bye-bye.
Nadia Jakobi: Bye.